Operator: Welcome to the Old National Bancorp Fourth-Quarter and Full-Year 2021 Earnings Conference Call. This call is being recorded and has been accessible to the public in accordance with the SEC's Regulation FD. Corresponding presentation slides can be found on the Investor Relations page at oldnational.com and will be archived there for 12 months. Management would like to remind everyone that certain statements on today's call may be forward-looking in nature and are subject to certain risks and uncertainties and other factors that could cause actual results to differ from those discussed. The Company's risk factors are fully disclosed and discussed within the SEC filings. In addition, certain slides contain non-GAAP measures, which management believes provide more appropriate comparisons. These non - GAAP measures are intended to assist investors understanding the performance trends. Reconciliations for these numbers are contained within the appendix of the presentation. I'd now like to turn the call over to Jim Ryan for opening remarks. Mr. Ryan?
Jim Ryan: Good morning and happy New Year. We are pleased to host our call to discuss our 2021 results and update on our pending partnership with First Midwest Bank. Let's start on Slide 4. We are pleased to share our full-year 2021 results. I would categorize this year's results as better than planned. 2021 EPS was $1.67, adjusted EPS was $1.73 with an adjusted net income of more than $286 million. Our adjusted return on average tangible common equity was north of 15%, and our adjusted efficiency ratio was approximately 57%. Highlights include 7% commercial loan growth driven by record commercial production of $3.9 billion coupled with net recoveries of $4.8 million for the year. We also saw record wealth management revenues in 2021. I'm particularly pleased that commercial loans are now up 20% in total from 2019 levels, excluding the impact of PPP. That’s significant growth amid a global pandemic and we've maintained a consistently strong credit profile in the process. We've opportunistically leaned in when several of our competitors rose and we continue to benefit from that stance, taking share by doing what we do best, consistent, quality growth. Moving to Slide 5, our fourth quarter EPS was $0.34. Adjusted EPS was $0.37. We saw a strong commercial loan production of $1.1 billion during the quarter, an excellent credit quality. Our pipeline ended the year at a robust $2.5 billion. A quick update on hiring. We opportunistically added significant talent during the quarter, especially on our commercial and wealth management teams. Building upon our recent success in St. Louis, we have hired 2 industry veterans to start an LPO in Kansas City, which should be operating at full strength later in the quarter. We've also begun recruiting talent in Chicago, anticipating that Chicago and Minneapolis will be a significant focus in 2022. In summary, our talent pipeline remains strong. I am personally active in recruiting key team members, and we will continue to make these vital investments throughout the year. Moving to Slide 6, which contains a quick refresher on some of our accomplishments and next steps with our partnership with First Midwest. As you know, both companies have tremendous integration history and experience, and as a result, our work is going very well. We have decision and communicated the organizational structure and leadership positions for all client segment and support areas. We've also settled on our core processing system and supporting applications. Our team member excitement -- our team member's engagement excitement remains strong, and as a result, we've seen minimal client facing roles -- minimal attrition in our client-facing roles. Our combined leadership teams continued to meet and build a collective long-term strategy and developed tactics to accelerate our combined growth. While we are still waiting on Federal Reserve approval, we continue to have frequent and constructive dialog with the Fed staff, who assure us our application is complete and ready for review at the Board level. We expect we will hear positive news this quarter. As soon as we hear, we will move expeditiously towards the close, with a more elongated and expected regulatory approval and the global pandemic related issues affecting the availability of labor and IT equipment, we now expect our system to -- conversion to occur in July. Given the delayed systems conversion, we expect to achieve closer to 50% of the run rate savings we modeled in 2022. We still expect to achieve 100% of the original model savings of $109 million in 2023. Lastly, despite potential distractions from the lingering pandemic related issues and our transformational merger, we remain highly focused on serving our clients and communities. I think our results for the quarter and the year illustrate the success of those efforts. Our success would not have been possible without one of the strongest teams in the industry. I'm also grateful for the hundreds of team members who are focused on the successful integration of the combined companies. Thank you and I will now turn the call over to Brendon.
Brendon Falconer: Thanks, Jim. Turning to Slide 7, our GAAP earnings per share was $0.34, and our adjusted earnings per share was $0.37. Adjusted earnings excludes $6.7 million in merger-related charges, as well as $400,000 in debt securities gains. Slide 8 shows the trend in commercial loans and the related pipeline and production trends, all excluding the impact of PPP loans. Q4 represents our sixth consecutive quarter of organic loan growth, with 2021 commercial outstandings increasing over 7%, with both CRE and C&I showing solid growth. Strong commercial production of $1.1 billion was well balanced across all our major markets. We're also pleased with the strong fourth quarter production did not have a significant impact on our pipeline, which ended the year at $2.5 billion, the highest year-end level on record. The size and quality of the pipeline that includes almost $500 million in the accepted category, supports our optimistic outlook on loan growth heading into 2022. Turning briefly to pricing, new money yields on C&I were 3.39%, which are now well above portfolio yields. New CRE production yields were slightly lower for the quarter at 2.59%. More than 80% of that production is indexed to short-term rates with good spread, but relatively low absolute coupons. While this put some pressure on margin in the near term, it does position us well for a rising rate environment. The investment portfolio increased this quarter as deposit growth once again outpaced total loan growth. We continue to put much of the excess liquidity to work in our investment portfolio. New money yields on investments improved 18 basis points quarter-over-quarter to 1.8%, with portfolio duration shorter by a quarter a year. Moving to Slide 9. We, again saw meaningful increases in both period end and average deposit balances. Quarterly growth came largely from our retail clients, with business clients drawing down on non-interest bearing accounts. Total cost of deposits for the quarter was 5 basis points, while total interest bearing liabilities was 28 basis points, both down one basis points from Q3. Next, on Slide 10, you will see details of our net interest income and margin. Net interest income excluding PPP, decreased just $300,000, which was consistent with both our expectations and goal of maintaining stable NII throughout this challenging rate environment. Net interest margin, decreased 15 basis points from prior quarter to 2.77% and core margin excluding accretion in PPP declined 11 basis points to 2.59%. Access liquidity and interest collected on non-accrual loans accounted for 6 basis points of the decline. Slide 11 shows trends in adjusted non-interest income. Adjusted non-interest income for the quarter at $51 million was $2 million lower than Q3, largely due to seasonal declines in mortgage. Our wealth line-of-business finished with a strong fourth quarter, which resulted in record revenue for the year. Our capital markets business had another strong quarter. It finished the year just shy of last year's record revenue. Mortgage production was up slightly in the quarter, but a seasonal decline in the size of the pipeline resulted in a $3.9 million decrease in revenue. Next, Slide 12 shows the trend in adjusted non-interest expenses. Adjusting for merger charges and tax credit amortization, non-interest expense was $123 million. The quarter-over-quarter increase was driven by additional lending incentives, related to strong commercial and mortgage production. Additionally, increases in the marketing and professional fees categories, were related to investments in Minnesota marketing efforts and the establishment of a new brand for our high net worth wealth division that we discussed last quarter. Turning to PPP loans on Slide 13, you will see a roll forward of those balances, which should adjust $169 million at quarter -end. Unamortized fees on the remaining loans totaled $6.4 million. We anticipate most of the remaining loans will be forgiven in the first half of 2022, and the related fees recognized accordingly. Slide 14 shows our credit trends. Credit conditions continue to be benign and benign in our commercial and consumer portfolios continued to perform exceptionally well. Delinquencies ticked up 1 basis points to end the quarter at a very low 11 basis points. We were pleased to post a fifth consecutive quarter ending net recovery position, resulting in full-year net recoveries of $4.8 million. The non-performing loans, total loan ratio once again hit a CECL low at 92 basis points. And while this metric remains higher than peers, the net charge off to NPL ratio is significantly better than peers. We believe our approach to downgrading troubled credits early, and our patient approach to work out results in better outcomes for our clients, and ultimately lower costs for the bank. On Slide 15, you will see the details of our fourth quarter allowance, which stands at $107 million, a slight decline from Q3. Credit loss expectations showed a slight improvement quarter-over-quarter, but the related reserve release was largely offset by additional reserves for loan growth. While our outlook on credit remains optimistic, we believe it is still prudent to maintain above-average levels of qualitative reserves, which stood at $37 million at quarter -end. As a reminder, we also continue to carry $34 million in unamortized marks from our acquired portfolios. As I wrap up my comments, here are some key takeaways. We are very pleased with the fundamental results of the quarter and year. Strong commercial loan growth led to stable core a net interest income, despite interest rate headwinds. Our fee-based businesses led by wealth, mortgage and capital markets continue to perform well and provide a great launching point for 2022. Expenses remained well -controlled, and our strong credit quality continues to keep credit costs low. Slide 16 includes thoughts on our outlook for 2022. We ended the quarter with a healthy $2.5 million commercial pipeline, which supports our favorable outlook on loan growth. This historically low interest rate environment will continue to put pressure on net interest income, which should be mitigated through continued earning asset growth. Rising short-term rates will have a positive tax on earnings as we have gradually re-positioned the balance sheet to a more asset-sensitive position. The PPP loan forgiveness process continued for our clients. We expect run-off of most of the remaining balances and related fee recognition to occur in the first half of 2022. We expect our fee businesses to continue to perform well. We are encouraged by the momentum in our wealth business and the strong commercial activity should help maintain the high level of performance in our Capital markets business. Mortgage revenue should follow industry trends and be seasonally lower in the first quarter. Our other fee lines are expected to be stable in the near term. ONB standalone expenses are expected to rise 2% to 3% in 2022 and should follow a typical seasonal patterns. The estimate includes an expectation of slightly higher merit increases related to inflation and continued strategic investments in both revenue talent and technology. A brief update on taxes. We continue to expect a reduction in the volatility caused by our tax credits, as we work through the last of the remaining one-year historical tax credit commitments. In total, we are expecting approximately $12 million in tax credit amortization for the year, with a corresponding ONB standalone full year effective tax rate of approximately 17% to 18%. The pro - forma ran for the combined company will be in the range of 21% to 22%. In light of the delayed close of our merger with F&B, we wanted to provide an update on the combined company expense expectations. Our June 1st announcement assumed 75% of the annualized cost synergies would be realized in 2022. The first-quarter closing the deal and the corresponding July conversion date, is now expected to reduce the '22 impact to approximately 50% of the total synergies, with the majority realized in the second half of the year. That said, we are still confident. We will realize 100% of a $109 million in targeted savings, which will help us deliver meaningful, positive operating leverage. In other words, the magnitude of the savings is unchanged for the timing has now elongated by 90 days. With that, we are happy to answer any questions that you may have and we do have the full team here, including Jim Sandgren, Daryl Moore, and John Moran. Also joining us this morning is, Mark Sander, President and COO of First Midwest Bank.
Operator: [Operators Instructions] Your first question comes from the line of Ben Gerlinger with Hovde Group.
Jim Ryan: Good morning, Ben.
Ben Gerlinger: Good morning. I was curious if you could -- we could take a minute to talk high level loan growth through the pandemic Old National and First Midwest you did pretty solid job, growing loans pretty consistently throughout the pandemic, especially when you compare that to like Fed HA data. When you look at the fourth quarter, Old National was a little bit lower, which makes sense if we look over fourth quarter run rate. You guys have done a better job. And then with the commentary about 1Q boding well for future growth, I was curious in kind of what you guys are seeing from kind of the ground level in terms of your clients [Indiscernible] loan demand, typically fourth quarter kind of pulls in from first-quarter's demand and first-quarter's yearly flat. So kind of just curious. Can you just spend some time thinking out loud about how your clients are approaching their need for loans, and what it might mean for you guys in the first half of '22?
James Sandgren: Yes, Ben, this is Jim Sandgren. I think you nailed it. Obviously, really strong production in the fourth quarter, pipeline is down a little bit seasonally. In the process of building those back up, I will tell you, I think from grassroots, our clients feel really optimistic in spite of the challenges that they continue to face around labor and supply chain. But the other thing that caused a little concern in the fourth quarter was high level of payoffs. Again, highest level that we've seen in a number of years and I don't know if that will continue in the first quarter or not. But I do think the pipeline continues to reflect that, our customers are investing and growing, if they can find the labor. So again, we think we'll get off to a good start, just not knowing exactly where that -- those payoffs will continue to land.
Ben Gerlinger: And Mark, would you like to add anything from your perspective?
Mark Sander: I think it's very similar to what Jim said. Pipelines are strong. Customers I think are optimistic. There is still a fair amount of liquidity in the system, of course, and payoffs are elevated. But our production is good and solid, and should position us well for loan growth coming right out of the box in Q1.
Ben Gerlinger: Great. That's helpful. And then, Brendon, if you can just look at the yield curve expectations going forward. I know that you have 2 balance sheets coming together. You have a margin that's near -- or is at its lower. So if you -- if the market's expecting that 3 hikes to 4 hikes in '22 and beyond a couple of more, just curious if you had any idea of where the margin might shake out as we end '22 with the two combining everything together.
Brendon Falconer: Sure. Yes. And I think you're right. I think short of rate changes, I think we're getting close to the floor and I think we're all the way there yet. I think there could be continued to be some margin compression without some help from the Fed. We have looked at both balance sheets and the margin impact from rate increases. And how we'd like to model that up Ben is against the forward curve, and so we think the ONB standalone is going to get some upward movement to about 2% to 3% in NII on a standalone basis, and when we fold in FMB, which has a slightly more asset-sensitive balance sheet, had a little more cash on hand, we think that's closer to 3% to 4%. Again, to get the forward rate, which is now kind of 3.5 to 4 rate hikes embedded in there.
Ben Gerlinger: Okay, great. That's helpful. I will step back, solid way to end the year.
Jim Ryan: Thanks, Ben.
Operator: Your next question is from Scott Siefers with Piper Sandler.
Jim Ryan: Good morning, Scott.
Scott Siefers: Morning, guys. Thanks for taking the question. Brendon, wanted to follow on -- some of those rate sensitivity comments. Can you maybe talk a little bit about where you're most sensitive on the curve or I guess ideally, where on a proforma basis you'll be most sensitive? Do you benefited most at the beginning of the tightening cycle or will it take a few hikes for you to feel the full benefit?
Brendon Falconer: No. I think we benefit right out of the gate with short-term hikes. Not - it shouldn't be a significant difference from quarter-to-quarter. Ultimately, long term impact of this will be what happens, where does the middle and long-end of the curve shakeout from a long-term perspective. But in the first few quarters, we’ll benefit right out of the gate.
Scott Siefers: Okay. Perfect, Maybe -- How do you - do your thoughts on deposit betas fit into the equation?
Brendon Falconer: Yes. So what we modeled was, I think a fairly conservative view of deposit betas that are a little below for the long term full-cycle rates. But in that 10% to 20%, which frankly could be very conservative assumption, given how we reacted for the first three rate hikes last cycle. I think we'll be able to manage deposit betas very low for the first year.
Scott Siefers: Okay. Perfect. Thank you. And then just as it relates to the closure of that transaction, how quickly would you guys be able to close after you do receive Fed approval? I imagine you're pretty much good to go, just sort of waiting on the -- that green light. But what kind of timeframe would we be looking at?
James Sandgren: Well, we need at least 15 days from whenever we receive approval, and more than likely, we would do it at the beginning -- or end of a month or beginning of the next month, just to keep the accounting clean and smooth. So just depends on when we might hear and how close we are to the next kind of beginning of a month, Scott. But again, other than that, we're ready to close.
Scott Siefers: Perfect. Alright, good. Thank you guys very much.
Operator: Your next question is from Terry McEvoy with Stephens.
Jim Ryan: Good morning, Terry.
Terry McEvoy: Good morning, everyone. Jim, maybe start with a question for you. Old National resolve that, that issue in Indianapolis, a day before the Fed approved a few transactions. You guys obviously weren't on that list. Is there anything that I'm missing out there that, maybe I just haven't picked up on? And is there anything you can share with us that gives you confidence that the transaction can close here in the first quarter?
Jim Ryan: Well, all that I can say is we continue to have very constructive dialog and I think it's just a matter of timing. And as you can imagine, there's a lot of priorities right now at the Fed. We had two Fed governors just as recently as last week going through their confirmation hearing. This is I think a lot at play. They got a lot of changes, so we are patiently waiting. And those 3 prior announcements were ones that were in the queue longer than us. I have nothing -- no reason to believe that we won't hear positive news and so we're just -- we expect that we'll hear that news here soon and we'll move towards close, like I said. But nothing -- there's no outstanding questions or issues that we're aware of and feel like we're in good shape and ready for approval.
Terry Mcevoy: Great. And it seems like every week a large bank announces a new deposit product to reduce overdraft fees. Could you maybe just talk about the Old National overdraft structure and product? How does that compare to First Midwest, and whether you think you need to make any changes going forward when the 2 companies combine?
Jim Ryan: I would just say, we're aligning our process and process together as we come together during the conversion in July. We've been spending a lot of time on that. That probably means slightly lower income for the Old National Deposit Service Charge Program, and we are looking at, like everybody else, what's going on in the industry. We're not going to be immune from those changes in the future. I think it's a little early to know exactly how it's going to shake out for banks our size, but clearly that the national banks are moving towards a program. So we're going to continue to watch it. We're going to continue to do the right things. And I would say our programs are right in the middle with everybody else, as we align the 2 programs, and we'll just have to wait and see ultimately if there's a standard that get set and how that might impact us in the future.
Terry McEvoy: Thanks. And if I could squeeze in one more. You mentioned recruiting in Chicago. Is that because you see the pro - forma company just having the ability to have a larger platform and the need for more lenders? Or do you expect some attrition and you want to fill some hole so to speak, in the company?
Jim Ryan: We've really seen almost no or minimal attrition so far and don't expect to have any. I mean, our teams from day one saw the opportunity, right. And we're excited about what that might mean for them. I just think, there's an opportunity to continue to invest, we have a great story to tell. When we get a chance to tell the story to potential team members, they like it, they feel the energy, they feel the opportunity that's in front of them. And so it's being more opportunistic around that and I just believe there's always an opportunity to add talent. And so we're just going to continue to go out and do that. But nothing that we're worried about in terms of our existing team, we got great team members in Chicago today, who are completely capable of doing the work but I do think there's more opportunity, and we will have a bigger balance sheet. I think there'll be more middle - market opportunities for us as just we combine the 2 companies. And we'll continue to take advantage of that client set and make sure we got team members who can fill those needs.
Terry Mcevoy: Thank you, Jim.
Jim Ryan: Thanks, Terry.
Operator: Your next question is from Chris McGratty with KBW.
Jim Ryan: Morning, Chris.
Chris Mcgratty: Morning, Jim. Question on just a balance sheet position to close and pro forma. Brendon, maybe a question for you. Any tweaks that you might be doing on either side of the balance sheet to put your best foot forward pro forma?
Brendon Falconer: Yeah. Chris, yes. We're taking a look at that. I guess what we can tell you now is anything that we do will not be material to the overall balance sheet. And certainly anything we do, we'll be looking to do in an EPS and capital-neutral way.
Chris Mcgratty: Okay. And then, once you close, you obviously are in a very strong capital position, what are the philosophical thoughts on a buyback at these levels?
Jim Ryan: Obviously, don't want to do anything ahead of any kind of Federal Reserve approval. So I think once, hopefully we received approval here soon. I think, we can look back at our capital and just make any actions going forward. We're obviously going to be at the low point, once we close and mark the balance sheet. And so we'll be looking at that, and we will be looking at it quite frankly as, what's the best return of capital, right? And so we'll just continue to do what we've always done. We probably run a little more capital on average than some of our peers, especially given our credit quality, but we'll make sure we do the appropriate things for shareholders and managed capital and take a look at that. But as Brendon said, it's still too early. We're looking at the balance sheet and any potential actions we might take. But if we do anything it's going to be pretty minimal.
Chris Mcgratty: Okay. But post-closing, the message on a buyback it's on the table, but it's balanced against the growth, is that the right interpretation?
Jim Ryan: Absolutely.
Chris Mcgratty: Okay. And then maybe 1 more on deposits. I think we as analyst continue to be surprised of the pace and the stickiness of the deposits. What are you seeing, like incrementally on deposit growth? What are your expectations for maybe the next 6 months to 9 months?
Brendon Falconer: Yes, Chris. So I think we were a little surprised too at the acceleration of the growth again here in the fourth quarter. It slowed a bit in the third and picked back up pace. And as we studied this and look at past cycles, our view is that this sticks around for longer. And that growth may moderate a bit, but we don't see that, at least in the near term, this is going to run out of the bank very quickly. That said, we are prepared. We have a tremendous amount of bank liquidity. If it starts getting ahead of us, I think we have a really strong balance sheet and great liquidity position to manage through that too.
Chris Mcgratty: Got it. Thanks, Brendon.
Operator: Again, if you would like to ask a question, [Operator Instructions]. Your next question is from Jon Arfstrom with RBC Capital Markets.
Jim Ryan: Morning, Jon.
Jon Arfstrom: Hey. Good morning, everyone. Maybe obvious your balance Slide 16, your NII guide, I'm assuming that assumes no rate increases. Is that right, Brendon?
Brendon Falconer: Yes. That's correct. That's exactly how we're thinking about it.
Jon Arfstrom: Okay.
Brendon Falconer: Yes.
Jon Arfstrom: Yeah. Okay. Okay. Good. And then in terms of your expense guide, the 2% to 3%, how much of that is hiring versus just call it natural pressures on expenses, like comp -- comp in technology?
Jim Ryan: I mean, those are the two biggest factors, right? And clearly our merit process is more out-sized than it has been in the past. We anticipated this and we try to get ahead of this a couple of years back, but we're also accelerating some of those increases, particularly at the lowest wage side. And then obviously, our hiring -- I think we'll be pretty consistent with what we did last year. So that's kind of built in the run rate at some level. But on average, they are more expensive. The people we're hiring today are more expensive than maybe, our average team member today. So I think like any other banks that I've seen so far, we're not going to be immune from that. Historically, who would have thought our expense growth would have been flattish year-over-year. And today, we're saying it's up 2% or 3%, depending on those needs.
Jon Arfstrom: And then if you set aside the synergies from the merger, it's safe to assume that we should expect similar type growth at First Midwest on their core?
Jim Ryan: Yes. Similar.
Jon Arfstrom: Yeah, okay. And then one more thing on lending. It's obviously picked up a little bit for the industry in terms of commercial, you guys have -- have certainly bucked that trend and had better growth but, do you expect the pipeline to continue to increase? Is there anything different in terms of the loan growth story that's emerging right now or is it just really more of the same?
Jim Ryan: Yeah, Jon. I would think that pipelines will continue to rebuild and grow, like they did last year. We haven't seen anything to the contrary, but certainly stay very close to our customers. But again, optimism for our customer base continues to be good in spite of the challenges that are faced in them with supply chain and labor. And that would add some of our new talent coming online, Jon, and their ability to run out their non-competes and things like that, I think gives us more confidence. The team we're just putting in place right now in Kansas City, again, those will all be net additive to the pipeline as we continue to hire new talent and get them in ready place to be successful.
Jon Arfstrom: Okay. Okay. And any theme on the new talent you're hiring? Is it just big bank fatigue wanting to come to a company like yours, but any thematic story behind that?
Jim Ryan: Yeah, I think it's a lot of it. I think it's -- it sometimes is hard to do your job, to serve your clients, serve your communities at some of the largest institutions. And I think they see a growth story here, an entrepreneur -- a little bit entrepreneurial story here, and all that is pretty exciting to be a part of. And for better or worse, some of those both largest competitors we face in our markets have lost that ability to do that. And so -- but we feel really good about the story and clearly, it's working. It's an interesting time right now, we're just working through year-end stuff and -- but I'm confident we'll continue to hire new talent as we enter the New Year here and continue to have lots of opportunities in front of us.
Jon Arfstrom: Okay. Alright. Thank you.
Operator: At this time, there are no additional questions.
Jim Ryan: Well, thanks everybody for joining us. And as you -- I know you got a busy day in front of you. And as usual, Lynell, John and Brendon and myself, we're all here to take phone calls. So we appreciate it. Have a great day.
Operator: Thank you. This concludes the Old Nation’s call. Once again, a replay along with the presentation slides will be available for 12 months on the Investor Relations page of Old Nation’s website, oldnational.com. A replay of the call will also be available by [Operator Instructions]. This replay will be available from February the 1st. If anyone has additional questions, [Operator Instructions]. Thank you for your participation in today's conference call. You may now disconnect.